Operator: Thank you for joining Healwell AI's First Quarter 2025 Financial Results Conference Call. All participants are in listen only mode, and the call is being recorded. After the presentation, there will be an opportunity for analysts to ask questions. [Operator Instructions] I will now turn the call over to Mr. Par Sangha, Investor Relations at Healwell. Please go ahead.
Pardeep Sangha: Thank you, operator. Joining on the call are Dr. Alexander Dobranowski, CEO of Healwell; and Anthony Lam, the company's CFO. I trust that everyone has received a copy of our financial results press release that was issued earlier today. Listeners are also encouraged to download a copy of our quarterly financial statements and MD&A and analysis once they are filed on SEDAR+. Please note, portions of today's call, other than historical performance, include statements of forward-looking statements, information within the meaning of applicable securities laws. These statements are made under the Safe Harbor provisions of those laws. Please refer to today's press release and term management discussion and analysis for more details on the company's risks and forward-looking statements. We provide forward-looking statements solely for the purpose of providing information about management's current expectations and plans relating to the future. We do not undertake or accept any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions, assumptions or circumstances, on which any such statement is based, except if it is required by law. We use terms such as gross margin and adjusted EBITDA on this conference call, which are non-IFRS and non-GAAP measures. For more information on how we define this term, please refer to the definition set out in our management discussion and analysis. [Operator Instructions] And with that, let me turn the call over to Dr. Alexander Dobranowski, CEO.
Alexander Dobranowski: Thank you, Pat. Good day, everyone, and thank you very much for joining us today for our Q1 2025 conference call. We're very pleased with our Q1 results in which we achieved revenue from continuing operations of $14.1 million an increase of 208% as compared to Q1 2024. We accomplished these impressive results, all the while our primary focus in Q1 was actually on securing the financing for and implementing the transformational acquisition of Orion Health, which closed on April 1st. With the addition of Orion Health, we have now entered a very new and exciting phase for Healwell. I will share more details about Orion Health shortly and want to remind everyone that Orion Health's financials will be included in our results starting next quarter in Q2. Our Q1 results do not reflect the current strength of our combined business with Orion Health. But on today's call, I'd like to focus on three key topics. One, the underlying strength in our Q1 results. Two, a bit more about the Orion Health acquisition. And three, the strategic changes and additions to our executive team. So let's start with our Q1 results. So I'm pleased to share our strong Q1 results, which reflect continued momentum across our business. Our Q1 reflects the strength and diversification of Healwell's business as we continue to scale a category-defining AI powered healthcare platform. The momentum in our AI and data science division is especially exciting. Khure Health has seen rapid adoption for major healthcare stakeholders, while Pentavere is gaining traction with new enterprise wins. These technologies are fundamentally reshaping how at-risk patients are identified, understood and their care compliantly optimized across the healthcare system. During the first quarter, we delivered strong revenue and gross profit attributable to the growth and commercialization of our AI and data science solutions in our recent acquisitions of BioPharma and VeroSource. In Q1, Healwell's two AI subsidiaries, Pentavere Research and Khure Health, continue to experience strong growth in the number of master service agreements signed, highlighting the increasing demand for their AI-driven solutions in the life sciences sector. By the end of Q1 2025, these two subsidiaries had a combined total of 32 signed MSAs. This reflects substantial growth compared to the 16, cumulatively signed MSAs at the end of Q1 2024. Now with regards to our growing impact on patient outcomes, in Q1, Healwell identified approximately 50,800 high risk patients, a substantial increase from the 43,000 high risk patients identified in Q4 2024. This highlights our progress as we execute against our mission of early disease detection and identifying gaps in care. We are very proud of our accomplishments to date in health care artificial intelligence and data science. I'll now expand on our second key topic, Orion Health. Subsequent to quarter end, we completed the transformative acquisition of Orion Health, a global leader in healthcare data interoperability marking our transition into a truly global company. This acquisition significantly expands our international presence, adding over 70 key customers across 11 countries and nearly 400 skilled team members to our organization. Orion Health also provides us with robust healthcare data infrastructure, strong operating margins and strong free cash flow conversion substantially enhancing our financial profile. Our vision is to integrate Orion Health's powerful healthcare data platforms with Healwell's advanced AI technologies, thereby building a unified global platform that enhances efficiency and improves patient outcomes. Orion's established presence in the public sector strengthens our relationships with government partners, while its extensive customer base provides a valuable new channel for distributing our AI solutions worldwide. This acquisition marks a very pivotal milestone for Healwell, positioning us to deliver more holistic, data-driven healthcare solutions globally. Leveraging Orion's global reach and robust data infrastructure, we are now better-equipped to transform healthcare through AI and data science. With a focus on enabling integrated data-driven care, Orion Health's core platforms, the Amadeus Digital Care Record and the Virtuoso Digital Front Door are designed to support seamless healthcare delivery across entire health systems. These solutions enable better coordination of care, enhancing patient outcomes while driving efficiencies. Orion Health's impact spans both private and public sector clients reinforcing its position as a trusted partner in transforming global health care. I'll now highlight some of Orion Health's key deployments around the world. In Ontario, Orion Health has delivered one of the largest digital front door programs in North America supporting a population of over 15 million people. This initiative aligns with the government of Ontario's Digital First Health policy, which has fundamentally transformed care delivery by expanding access to digital and virtual care options. The DFD implementation provides users with 24/7 access to reliable health information and appropriate health services, significantly reducing the burden on emergency health care. In addition, delivery is underway for a province-wide digital care record that will unify clinical data across the continuum of care. In addition to Ontario, sorry -- Orion Health has also deployed its Digital Front Door solution in Newfoundland as a native mobile app for personal health records and services. And in Alberta, Orion Health has maintained a 20 plus year partnership enhancing collaboration between clinicians across hospital and community care settings. This includes one of Orion's largest digital care record implementations with over 1.2 billion clinical screen views and 70,000 clinical users. Internationally, in Saudi Arabia, Orion Health powers the largest digital care record deployment in the world, covering a population of 35 million. It aggregates data from more than 5,000 governments and private healthcare providers to deliver a single longitudinal view of every patient's care journey. In Abu Dhabi, Orion Health delivered the first digital care record deployment in The Middle East, connecting 100% of hospitals, clinics and pharmacies in the region. Orion Health's reach also extends to The United States, where it provides digital care record infrastructure for statewide and regional health information exchanges or HIEs in states like Maine, Minnesota, Pennsylvania, New Mexico, North Dakota and Idaho. In The United Kingdom, Orion is rolling out digital care records across 10 of the 42 integrated care boards as part of the national shared care record initiative. And finally, in New Zealand, the headquarters of Orion Health, Orion works with Southern Cross to streamline over 80,000 patient admissions annually across 16 hospitals, using both its Digital Front Door and Digital Care Record solutions. This is a truly global footprint built on modern, interoperable standards and supported through deep partnerships including being an AWS advanced tier partner in healthcare. Orion solutions are embedded in the core infrastructure of healthcare delivery with long-term contracts and critical functionality that makes it very difficult to displace. Now with Healwell's advanced AI capabilities combined with Orion's global scale, we are uniquely-positioned to drive innovation at the intersection of data interoperability and artificial intelligence. Our unified platform will enable intelligent care coordination, predictive insights and AI-powered workflows that transform healthcare delivery, improving outcomes and optimizing system efficiency. By leveraging Healwell's deep AI expertise alongside Orion Health's cutting edge R&D, we will significantly enhance the Virtuoso Digital Front Door and Amadeus Digital Care Record platforms, empowering health care organizations worldwide. We're already working together on high impact integration opportunities across our businesses, and we look forward to the bright future ahead. I'll now discuss the recent strategic changes and additions to the executive leadership team. With the acquisition of Orion Health now closed, we shift to the next phase of our growth and integration. As part of this, we've also strengthened our leadership team with world-class talent. Effective July 1st, James Lee will be appointed CEO, while I will transition to the role of President, continuing my work as a Member of the Board of Directors and I will continue to drive critical leadership functions for the company. Additionally, I will also be focused on the acceleration of the company's AI and data science solutions with large enterprise customers, as well as continuing to lead the company's capital markets activities. James is a highly accomplished executive with over two decades of experience leading multinational organizations, most recently as CEO of Jarden, New Zealand. And since joining Healwell earlier this year as Chief Strategy Officer, James has played a critical role in shaping our integration plans and aligning the organization for scale. I have tremendous confidence in his ability to lead Healwell through this next chapter of growth and innovation, especially as we continue to see stronger-than-expected progress across the business. Looking back, I'm extremely proud of what we've accomplished so far. In just 19 months, we completed six strategic acquisitions. We've raised over $100 million in capital. By our estimations, we are one of the fastest-growing healthcare AI companies globally and our momentum continues to exceed expectations, a testament to the strength of our vision and the exceptional execution of our team. We're also very excited to welcome Sacha Gera as Chief Operating Officer and Brad Porter as Chief Commercial Officer. Both bring deep expertise in execution, which will be key in accelerating our growth. Sacha brings an outstanding track record in scaling SaaS technology and cybersecurity businesses globally and will lead day-to-day operations, technology strategy and alignment across divisions. His focus on organizational efficiency and execution will be critical as we integrate Orion Health and scale our commercial operations. Sacha is replacing our former Co-Chief Operating Officers, Adam and Paolo, and we thank them both for the incredible work done over the last year and a half. In addition, Brad Porter, who currently serves as the CEO of Orion Health, has now taken on the additional and expanded role of Chief Commercial Officer at Healwell. Brad has extensive experience in global healthcare commercialization and his leadership will be instrumental as we bring our AI capabilities to new markets, particularly in the public sector and across government healthcare systems. He will continue to lead Orion Health, while also overseeing our group-wide global commercial strategy. In this critical role, Brad will drive the distribution of Healwell AI's capabilities across the Orion Health network, with a strong focus on public sector opportunities and government contracts. These leadership changes reflect our commitment to building a world-class, mission-driven leadership team capable of scaling Healwell to new heights. Our focus is now squarely on integration, product expansion and commercial execution at scale, capitalizing on the significant market opportunities presented by the Orion Health acquisition. Our transition from an M&A driven strategy to one focused on operational excellence and scalable growth is already delivering results with progress across the business exceeding our expectations. I am truly energized by what's ahead and look forward to continuing to work closely and supporting James Lee and the rest of our executive team as we push the boundaries on what's possible in Healthcare AI. Further to the additions and changes with management, we have also warmly welcomed three directors to our Board, Ian McCrae, a globally recognized technology entrepreneur and the Founder of Orion Health; Tina Raja, bringing deep sector experience in U.S. growth in private equity and capital markets; and Sam Englebardt, Co-Founder and Partner at Galaxy Digital Holdings. We also thank departing directors Kingsley Ward and Bashar Al-Rehany for their dedicated support during their tenure. So with that, I'd now like to turn the call over to our CFO, Anthony Lam, to walk you through the Q1 financial results further.
Anthony Lam: Thank you, Alex. Before I begin, I'd like to remind everyone that, all of the figures I will be discussing today are in Canadian dollars and our financial statements are presented in accordance with IFRS, International Financial Reporting Standards. Our first quarter 2025 results are as follows. Healwell achieved quarterly revenues of $14.1 million during Q1 2025, compared to revenue of $4.6 million generated during Q1 2024, an increase of 208%. The acquisitions we made in 2024 are all positively impacting the growth of our revenue for the company. Organic growth from the businesses we owned in the Healthcare Software and Data AI segments, which include Khure, Pentavere and Intrahealth was 51%. Organic growth in our clinical business was relatively flat at 6%. Our acquired businesses, VeroSource, BioPharma and Mutuo added approximately $6.4 million in revenue in the quarter. Healwell achieved gross profit of $6.5 million in Q1 2025, an increase of 226% compared to $2 million during Q1 2025. The increase in gross profit is mainly driven by higher revenues. Healwell's gross margin percentage in Q1 2025 was 46% compared to 44% in Q1 2024. The increase in gross margin was also primarily due to the contribution of higher margin revenues from VeroSource, Intrahealth and Mutuo. Margin profiles in these businesses averaged over 50%. During Q1 2025, Healwell reported adjusted EBITDA loss of $3.3 million compared to an adjusted EBITDA loss of $2.5 million in Q1 2024. The greater loss was due to higher losses in our AI subsidiaries, investments in scaling our business and higher marketing and awareness expenditures. Healwell reported $14.1 million in net loss for Q1 '25 as compared to a loss of $6.3 million in Q1 2024. The higher loss is due to $2.5 million in transaction related costs related to the Orion acquisition and $2.9 million in stock-based compensation expense on a year-over-year basis. I will now provide an update on our cash and debt position. We ended the quarter on March 31st, 2025 with $18.4 million in cash, an increase as compared to $9.4 million at the end of Q4 2024. The company also had $86.6 million of cash that was held in escrow in advance for its acquisition of Orion, which subsequently closed on April 1st, 2025. During the quarter, the company implemented targeted cost optimization efforts, including a workforce reduction, which are expected to result in $3 million of annualized savings, further strengthening our financial position moving forward. In total, we secured $100 million in total financing to support the acquisition of Orion Health, comprising $50 million in credit facility led by Scotiabank and RBC and $55.5 million in capital from a bought deal financing, which included $30 million in convertible debentures and $25.5 million in equity. I want to spend a few minutes now talking about our overall growth and profitability outlook for 2025, including individual revenue segments. We are expecting healthy organic growth across all business units in 2025. In addition, Orion Health will have a significant positive contribution to our financial results, adding approximately $100 million in annual top-line revenue starting in Q2 2025. With the benefit of our cost optimization efforts in the Orion acquisition, we expect to be adjusted EBITDA positive for the full year of 2025. The company generates revenues in three distinct segments: One, AI and data science. Two, health care software. And three, clinical research and patient services. The first is AI and data science, which includes our AI-centric divisions, Pentavere, Khure Health and Mutuo. All AI and data science segments achieved -- our AI and data science segment achieved $2.3 million in Q1 2025 revenue, an impressive 224% revenue growth on a year-over-year basis versus prior year. Our AI and Data Science division serves a clientele of life sciences, pharmaceutical, medical device and precision medicine companies. We're expecting our AI and data science segment to achieve 100% growth in 2025. Our second revenue stream is healthcare software revenue provided by Intrahealth, an enterprise grade EHR platform, VeroSource, an end-to-end customizable cloud based healthcare data interoperability platform. This segment generated $5.7 million in revenue in Q1, a significant increase from $2 million in revenue in the same quarter of last year. Our Healthcare Software division serves a clientele of public sector healthcare systems, healthcare providers, hospitals and clinics. Going forward, Orion Health's financial performance will be added to the Healthcare Software segment. This will have an immediate impact on our financial performance starting in Q2 2025 as it will add, as I mentioned earlier, up to $100 million in top-line revenue starting in Q2. This substantially has an impact on our business and our full year results, and we expected to see our Healthcare segment to make up over 70% of the company's total revenue for the year. The third revenue segment of Clinical Research and Patient Services consists of clinical research delivered by BioPharma and Canada fees onward as well as our outpatient polyclinic business. Clinical Research revenues are contract-based revenues. This segment operates on a per visit project basis and has a track record of positive EBITDA. It also caters to diverse clientele, including government reimbursement, health insurance reimbursement and life science research sectors. This segment generated $6.1 million of revenue in Q1 2025, an increase of 233% as compared to $1.8 million in Q1 2024. This boost in revenues is attributed to the acquisition of BioPharma. To build on comments that Alex made earlier, our acquisition of Orion Health positions Healwell to drive innovation at the intersection of data interoperability and artificial intelligence. As this year progresses, AI and data science along with healthcare software will approach 80% of the company's total revenue. Leveraging Orion's global reach, robust data infrastructure and installed base, Healwell is poised to deploy more of its AI data science capabilities across the existing and new relationships. In summary, I'm pleased to report that Healwell's outlook is bright. The company is in full -- is in a strong financial position and has the capital to fund future tuck-in acquisitions and can execute on its organic growth initiatives. We look forward to reporting Q2 results with the consolidated results of Orion business. Most importantly, we are well-positioned to be profitable on an adjusted EBITDA basis going forward, and supporting our strategic focus on sustainable profitable growth. I'll now turn the call back over to Alex.
Alexander Dobranowski: Thank you very much, Anthony. And before closing, I wanted to say a few comments about the potential impact of tariffs on our business in the Buy Canadian opportunity. We believe the growing momentum behind the Buy Canadian initiative presents a significant opportunity for Healwell to expand its role in Canada's Healthcare ecosystem. With provinces now prioritizing Canadian suppliers response to U.S. tariffs, demand for homegrown healthcare solutions is rising. Healwell is uniquely positioned to support this shift providing advanced made in Canada health technology solutions that are already integrated into health systems across multiple provinces. This Canadian presence is now further strengthened by Orion Health, a leader in provincial health information exchange platforms, supporting integrated health information access across several provinces and territories. Orion also has a strong presence in public health and is at the forefront of digital front door solutions, as I mentioned, partnering with the governments of Ontario, Newfoundland and Labrador to enhance care access to 16.5 million Canadians. As government seeks to strengthen domestic healthcare infrastructure, Healwell's expertise in health information exchange, AI-powered solutions and digital health platforms positions us as a key partner. Increased engagement at both the provincial and federal levels further reinforces our strategic position as policymakers look to reduce reliance on foreign technology and expand public sector partnerships. Now I'd like to share some insights on our goals for the rest of the year for 2025. We are continually seeing unprecedented opportunities in healthcare data science and artificial intelligence, and our advanced AI co-pilot technology is at the forefront of this evolution. Our commitment to enhancing healthcare delivery through innovative technology remains unwavering, and we are poised to drive substantial value for our stakeholders. Our goals for 2025 are as follows: One, integration of Orion with the rest of the Healwell business. Two, continue to execute on our M&A strategy, the company's growth and progress is underpinned by our continued focus on accretive and disciplined capital allocation. Three, accelerating organic growth by ramping up physician adoption of the Healwell platform. Four, continuing to deepen our integration and broadening our reach within the well health ecosystem. And five, leverage our Canadian footprint and the well health relationship to take advantage of the Buy Canadian opportunities in healthcare. Overall, our focus is firmly on sustainable growth and delivering impact for patients and the broader healthcare community. We have an extremely positive outlook based on our organic growth profile and our M&A strategy. In closing, I want to reiterate that Healwell is a healthcare artificial intelligence company that has globally validated artificial intelligence with now over 30 signed MSAs with life sciences partners. The Orion acquisition, which closed on April 1st, boosts Healwell's revenue by approximately $25 million per quarter and turns the company into an EBITDA positive business. The WELL Health relationship accelerates our growth with exclusive access to providers across North America. M&A will continue to play a significant role at HealWell going forward. Including Orion Health, we have completed six key transactions to date. We believe that, we have the necessary building blocks in place to successfully execute in healthcare AI and not just in Canada, but also from a global perspective. Finally, I want to thank the entire team at Healwell whose hard work continues to elevate the company. I'd like to thank our investment banking partners. I'd like to thank our Chairman, Hamed Shahbazi and the leadership team at WELL Health. Plus I would like to thank my Board of Directors. And I'd like to thank all of you for joining the call today and we look forward to providing an exciting update next quarter. I'll now hand it back to the operator.
Operator: Thank you. [Operator Instructions] First question comes from Kevin Krishnaratne with Scotiabank. Please go ahead.
Kevin Krishnaratne: Good afternoon. I've got a few questions on data and AI. So, good performance sequentially. It's still very early days. First question, can you talk about any ways to break down that revenue? I know, Anthony, you talked about pharma, life science, medical device and precision. But what about the healthcare practitioner side on the clinical support? Is that being monetized? If so, how much of the mix does it make up? And then, if you can talk about maybe how much of that revenue is recurring in nature?
Alexander Dobranowski: Kevin, thank you for joining. Thanks so much for the question. I'll just quickly clarify. So with stakeholders that we work with our partners in the physicians, providers and provider networks and hospitals, we don't monetize through those stakeholders at all, right? We provide our tools to then provide them with support, clinical decision support, so they can make more informed decisions. So that's not part of that mix of revenue. And where we're now currently commercializing our AI technologies is largely through our life sciences partners and also now we're looking at a number of exciting opportunities with other large enterprises and of course public sector.
Anthony Lam: I'll add Kevin to your question on recurring. I'd say between 58% recurring right now on some of that AI business. Still a small portion of it, but we're starting to see some recurring nature of it.
Kevin Krishnaratne: Got it. That's helpful. And then, yes, Alex, I definitely had the question. You called it out a few times, enterprise clients, you got 32 MSA. So maybe you could talk about what you're seeing there? Again, it's still super early days, but what would it take for us to start to see the real bigger jumps in revenue here? I mean, no doubt, you've got top 10, 20 life size companies and these customers spend a lot of money on commercial efforts. So what do you see as the tipping point, where you start to really start to unlock a lot more bigger mandates? Maybe talk about the nature of these 30 plus MSAs you've got?
Anthony Lam: Sure. Kevin, I'll answer that. What we're starting to see now is demonstrating value towards every stakeholder that's part of the healthcare ecosystem collectively, right? As we execute right against this mission of early disease detection and finding high-risk patients, yes, number one, we're identifying gaps in care and we're providing insights, which helps them then be on an optimized care path journey. But number two, we're starting to do it at a quantum where we're going to be able to start measuring the results as in, what is the actual cost saving to the healthcare system, both locally and in some of the other jurisdictions that we work in. And those types of insights are then, in turn, very helpful with discussion for instance with public sector customers. We're also exploring what are some of the benefits here and insights for the insurance sector. So, that's kind of another category that we're looking at very carefully. And with life sciences, remember, this is about making sure that patients have ultimately access to life-saving interventions and also access to clinical research, which again can in some ways also be life saving. So, these are the way the drivers, how we're demonstrating value to all these stakeholders. And then Kevin to be a bit more precise right, we're noticing especially with our life sciences partners that, they're very satisfied with this type of value that we're demonstrating and we're continuing to grow our work with each individual customer as we move forward.
Kevin Krishnaratne: That's helpful context. Thanks, Alex. Just the last one for me. When it comes to the tech in your data and AI segment, you've got I think over 100 algorithms now. Can you remind us of the strategy? I know M&A is going to be a part of that. So, how do you think about what would make logical targets? Is it sort of your pharma client customers sort of helping you figure out what are priorities? Are there certain areas of disease or health conditions that may just make for a more natural fit alongside your current portfolio? And when you're looking at targets, how do you think about what makes a potential target good versus bad? I'm just trying to get a sense of -- I know it's a smaller piece of your M&A strategy, but I think it's an important underlying tech piece. Thanks.
Anthony Lam: No, this is actually a very, very important area of our focus, right? So, Kevin, what actually drives some of where we focus capability acquisition is, where are some of our gaps. And currently, as you mentioned, we have capabilities, right, where we can screen now for over 100 different conditions. But there are certain disease areas where we're not screening at all. For instance, one domain is particularly in dermatology and skin related conditions. That's somewhere where we're looking a little bit more closely as, are there opportunities there, right, to bring in some technology that closes that gap. So, that's number one. And number two, we also look at, where are the biggest burdens of some of these conditions in different population cohorts. So we're looking at increasing amounts of, for instance, cognitive decline in dementias, et cetera. So that may be an area of focus, or, of course, the very large burden in metabolic disease. So that's another domain where we're looking at different capabilities, which may make sense to bring under the Healwell umbrella and tie together with our clinical decision support platform.
Operator: The next question comes from Doug Taylor with Canaccord Genuity. Please go ahead.
Doug Taylor: Hi, thank you. So you started or you finished your prepared remarks by talking about some of your key goals for this year, the first being the integration of Orion. So I wanted to ask a question about that. I know, it's been just a month since that acquisition closed in its early days. But as you look at over the coming quarters, could you speak to what some of the primary milestones that the management team is focused on internally around that integration and what we can look for as confirmation that the business is tracking to your plans?
Alexander Dobranowski: Sure, Doug. Thank you so much. Thanks for attending and of course the question. And look, the integration of Orion is cornerstone now to our strategy in 2025. And I'll just reiterate quickly because the theme here is, on one hand, we have globally-validated artificial intelligence capabilities. We can help us screen patient cohorts and help identify gaps in care. So, that's number one. Number two, Orion Health now has scaled data infrastructure and software into a number of key geographies et cetera. And really Orion Health and the leadership team there is seeing that, there's demand for more sophisticated tooling for their customers to be able to understand the data that they steward better. So number one, you're going to see us communicate in the coming quarters of our integration efforts of actually doing that, plugging in some of our AI capabilities into the Orion Health footprint for them to be able to serve their customers better. So that's something, that's really kind of top of mind. And number two, there's a whole host of other revenue synergies that we'll be working on and then of course also some cost synergies too. And I'll just add this Doug that, concurrent to the closing of this acquisition of course, WELL Health exercised their option to acquire more voting shares. And with that, we have an opportunity now with some cost optimization, not just between Healwell and WELL Health, but through some support of their shared services also to the Orion Health level. So it's really early days, right? We've just been about five, six weeks since we've closed this acquisition, but we've hit the ground running.
Doug Taylor: Okay. I appreciate all that and thank you. You also recapped a number of senior management appointments that were announced over recent months. Certainly, you've expanded the management team. Is that team now set at this point or is there more augmentation left to be done here?
Alexander Dobranowski: Doug, with the team we had in place, Anthony Lam, Blake Corbet, my former Co-Chief Operating Officers, what we wanted to do now concurrent with the close of April 1st is now make sure that, we added the capabilities and the talent to really take this company forward and to be a player globally. So, we're really excited about adding Sacha Gera as our Chief Operating Officer, Brad Porter also with an expanded role in his deep pedigree of growing healthcare-oriented companies globally. And then, of course James Lee who's replacing me as CEO, who has a very tremendous background and reputation. This is all about now anchoring together to really take this company to the next level. Now to answer your question, yes, this is the composition that we think we've needed and the composition that we wanted right to make sure that, we're going to be successful.
Doug Taylor: Okay. And maybe one last question for me. I'll ask a question on BioPharma and that business unit. I mean, you've spoken in the past about your strategy to transition to higher margin later stage trials and stabilize and then ultimately grow that revenue base, which is still going to be maybe a quarter of the pro forma overall revenue total. So, can we talk about where you are on that process? Has there been any movement of late?
Alexander Dobranowski: Yes. For sure, Doug. And I'll also add, so part of the strategy and thinking with the CRO BioPharma is also the greater connection to the WELL Health ecosystem and clinic footprint. So what we're working on here is a multi-phase, multi-quarter efforts, where we would like BioPharma as an anchor to carefully transition to also offering besides pre-clinical and stage and Phase 1 clinical research services also adding later phase trial work. And that's really so that, we can offer this service to, of course, our partners at WELL Health and then, of course, other healthcare systems, et cetera. We have undergone kind of two major steps here. Number one is we did do some cost optimization, Doug. And then on top of that, we've now reoriented with an effort right to grow sales and added sales capacity and talent. So you'll see us in the coming quarters, demonstrate some progress here, but that's what we've done to date. Look, we're steering this asset and executing quite carefully, because this is -- we've identified a tremendous opportunity, but there's of course a few moving parts.
Doug Taylor: Okay. We'll look forward to hearing more about that in the quarters ahead. I'll pass the line. Thank you.
Operator: The next question comes from Allen Klee with Maxim Group. Please go ahead.
Allen Klee: Hi. Just following up on the last question for your CRO business. Last quarter, you talked about how it would be a little lighter in the first half, as you pick up in the second half, as you go to later stage. Do you still feel that way?
Alexander Dobranowski: Allen, great question. Yes. I mean, that is how we see the business. It performed exactly how we expected in Q1. I think our comments are in line with our expectations at the moment.
Allen Klee: Okay, great. And my second question is really dumping it down very similar. But, if you had an EBITDA loss of close to like $3 million this quarter and if you add Orion, which is going to do around $6 million in EBITDA quarter, does that kind of imply you're starting off around $3 million, but then it should potentially grow quarterly as your businesses grow. Is that the simple way or am I missing something?
Anthony Lam: Allen, I think, we feel that the addition of Orion adds on an annual basis $100 million of top-line revenue for us on an annualized basis, starting in Q2. We also see the addition of Orion helping us move into the positive EBITDA for the full year. So that's how we see the business right now and we're excited about it.
Operator: The next question comes from Brian Kinstlinger with Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Great. Thanks so much. Your AI offering has grown 100% in just the last six months. Congratulations. I'm hoping you can speak to customer concentration within this offering, maybe share what the top two or three customers account for as a percentage of this segment. And then, I'm curious maybe you can take us along what the evolution of those customers look like in terms of taking on additional disease algorithms, or how volumes within one disease might increase over the course of 12 to 18 months?
Alexander Dobranowski: Sure. I'd love to expand on this. Thanks for the question. Look, in terms of customer diversification, it's actually quite high, right? We're now commercially active with a number of our partners in the life sciences sector. We're now also starting to explore some fairly exciting work also in public sector. But, there's no concentration of one or two names taking up a material amount of kind of the shared pie. And, sorry, what was the second question?
Brian Kinstlinger: I'm curious when the customer...
Alexander Dobranowski: Yes, sorry, over time. Understood. Look, what we've seen is, we've gone from some very small initiatives. And we've in fact, more often than not or largely the entire time have expanded our initiatives with each customer. So what we're noticing is that, we're able to now demonstrate ROI, we're able to demonstrate competency and we're able to grow these relationships, customer-by-customer. It's really, really encouraging. As Anthony mentioned as well, right, some of these customers now, we're actually working in a recurring format with them. So there aren't too many healthcare AI companies globally, that have actually kind of gotten to that level of competency through validation and of course building trust.
Brian Kinstlinger: Okay. By the way, just to be clear, I don't know what's meaningful to you, there is no one customer that represents a 20% of AI revenue, is that right?
Alexander Dobranowski: That's correct.
Brian Kinstlinger: Okay. My follow-up is, you mentioned 51,000 cases, I think, of early disease detection in the first quarter. Again, you've got 100 some algorithms checking diseases. Are there, in that case, any one or two or three diseases that are dominating your case detection or your revenue generation thus far?
Alexander Dobranowski: So, the answer is, no, but I will just explain, our areas of focus right now are in the rare disease space, the ultra rare space, chronic disease, which is of course paramount and most important, right? And we've also done some work in cardiovascular disease and of course really importantly in oncology. So, there's no one kind of area I'd point you to and say, ''Hey, this is an outsized amount of focus.''
Operator: The next question comes from Gianluca Tucci with Haywood Securities. Please go ahead.
Gianluca Tucci: Hi, good afternoon, guys. Congrats on the quarter. Maybe I'll just start off with a high level question. In these early days of cross-selling AI into the Orion customer base, could you speak to how sales cycles looking over there, given or compared to what you used to previously?
Alexander Dobranowski: Sure. And Gianluca, thanks very much for attending in the question. So what's interesting here is that, the Orion Health customer base, which is fairly sophisticated, these are largely public sector customers. They're actually looking for additional capabilities and largely these are capabilities that Healwell can provide. So we're not expecting massive kind of sales cycles, but this is about going back to current relationships and saying, ''Look, we have now increased capabilities. Here's the validation right at a global level. And we believe, we can deliver some of this performance to your business.'' So, it's about now going back and up-selling and driving those current relationships forward, which we're hoping we'll be able to accomplish in a bit of a shorter period of time.
Gianluca Tucci: Okay. Thank you, Alex. And for my follow-up question, is it fair to assume perhaps on the income statement piece of the equation here, but is it fair to assume after the Orion acquisition that margins are going to flip north of 50%? And if so, how are you thinking about gross margins over time, Anthony?
Anthony Lam: Great question. I think, look, we've been approaching 50% now. I think Orion has got a very similar profile for us. We're going to continue to work through things as the business settles in with us, and anticipate that margin will be very similar to what we have right now.
Operator: The next question comes from Rob Goff with Ventum Financial. Please go ahead.
Rob Goff: Alex, you spoke about Buy in Canada opportunities. Could you talk a bit more about Buy from Canada or Buy from New Zealand as opposed to someone else? And how that may be in RFP stage or what sort of scale or scope that might be?
Alexander Dobranowski: Yes. Sure, Rob. I think there's quite a material amount of opportunity. And you may have also heard our Chairman, right, CEO of WELL Health, Hamed Shahbazi, talk about a multi kind of nine figure opportunity on mask. We're not I'm not suggesting that we're going to capture that opportunity. But what I am suggesting is that we're in a really strong position with our partnership with WELL Health, with also the capabilities of some of our subsidiaries, like Pentavere, VeroSource, Khure Health, Intrahealth, and then of course Orion Health that will be in a very unique position to be applying and have a seat at the table with these RFPs, and win some. So that's our expectation and we have some confidence around that.
Rob Goff: And so, as much as there is a movement to Buy in Canada, within Canada, are there other jurisdictions where buying, shall we say, non U.S. is a very positive backwind for you?
Alexander Dobranowski: Sure. Sorry, Rob. You did asked that. I misunderstood it. Yes, there is. There's kind of a sentiment that we're understanding and feeling throughout the Commonwealth, where there could be -- and this is a subjective comment, right, a preference for offerings within the Commonwealth for the Commonwealth. And what's interesting is, this is the jurisdiction, where Orion Health has had some of its outsized success. So, as this kind of theme continues, Rob, we'll get back to you with some more precision.
Operator: Next question comes from Michael Freeman with Raymond James. Please go ahead.
Michael Freeman: Hi, Anthony. Congratulations on the quarter. Thanks for taking my question. It's a similar question to Ross. But I wonder if you could describe some of the opportunity you're seeing in the public sector to combine with the different business units within Healwell and then also with WELL and Wellstar to put together a proposal in response to RFPs that could compete directly with some of the big players that might still be in the running in these RFPs like the EPICs, Cerner's InterSystems of the world. Just describe how your combined capabilities compared to some of these large global healthcare softwares?
Alexander Dobranowski: Michael, thank you very much for the question. Look, this is an interesting topic, because I think also for the WELL Health group of companies and by extension into Healwell and by extension again with Orion Health, we have a real strong spectrum of capabilities. In fact, I think this is the first time, where we're in a position where we can bid more broadly for some of the implementations that historically perhaps, neither one of us separately would have been able to go after and win. Look, you're talking about some big players like the Epics and Cerners of the world, et cetera, where now it's not outlandish to be able to compare this whole ecosystem to be able to compete against those other incumbents. So, it's a really interesting time for the company. By the way, our capabilities are just going to continue to strengthen as we continue right on this both organic and inorganic growth strategy.
Michael Freeman: Okay, great. That's super helpful. Maybe, I wonder if you could describe some of the geographies of focus for CLL during maybe the next 12 and 24 months. What are the areas that are most important to penetrate in the short and medium-term?
Alexander Dobranowski: Yes. Thank you, Michael. Now this is a great question. We spend a bit of time on this obviously strategically. Look, Orion Health has had tremendous momentum and has a tremendous reputation, number one in Canada and the extended commonwealth. So we're looking over the next 12 month period to focus right efforts and growth in that region. And on top of that, as I mentioned, what they've done in The Middle East is actually very, very special, having launched the world's largest health information exchange in Saudi Arabia, having deployed also very confidently in Abu Dhabi and out in this region, they've developed an extremely strong reputation. So we're looking at also very exciting opportunity there. And as James Lee, my replacement right will attest, we're also exploring some compelling opportunity off the back of the success that Orion Health has had in The UK and Europe. So although that may sound broad, there is some tactical right areas of focus, as I mentioned, where you'll see us demonstrate some success in the coming two quarters.
Michael Freeman: And just one last probably broad question. In the press release describing the refreshed C-suite, there was a quote describing how CLL's current opportunity set was larger than what was originally anticipated. I'm curious, you know, how has CLL's view of its opportunity grown, in over the over the recent months as you're integrating for Orion?
Alexander Dobranowski: I think, Michael, one thing we understood but perhaps underestimated is just how this theme here of integrating our AI capabilities into the Orion Health footprint, just how that can be actually practically and quickly executed against. So we feel that, there is actually outside of our previous expectations a larger opportunity and we're going to go after it. So stay tuned, and we'll come back and have some exciting news.
Operator: The next question comes from George Ulybyshev with Clarus Securities. Please go ahead.
George Ulybyshev: Hi guys. Thanks for taking our questions and congrats on all the recent developments. The first question is for Anthony. It looks like your adjusted EBITDA this quarter was much stronger, compared to your Q4 number. Should we view this as a sustainable run rate going forward excluding the addition of Orion Health?
Anthony Lam: George, that's a great question. I think, look, in our business, we saw some transitional things flow through this quarter and maybe we ended up with a better spot than we expected. I would say that, we're safely going to be positive adjusted EBITDA for the full year, and maybe we'll leave it at that with Ryan in the mix.
George Ulybyshev: Okay, got it. Thanks for that. And just on the macro side, with all the recent developments, how are you guys thinking about the potential impact of Trump's new drug pricing policy on your partnerships with pharma companies? Could this actually be potentially be a positive for Healwell?
Alexander Dobranowski: George, that's an interesting question, and I don't mean to kind of deflect, but that's something that we haven't quite internally started yet to kind of wrap our heads around. I think, look, where we're anchored right is, number one, it's really to work and have our software support right physicians and optimize patient care pathways. It's less on the focus, okay, what are the needs of life sciences, right? If we can do that, if we can identify gaps in care or identify patients that are at high risk or that need interventions, then we're very confident by targeting and filling that value right, we're going to grow commercially with our other enterprise customers.
George Ulybyshev: That makes sense. Thanks, Alex. And just one more last question from you guys. A more general question, I guess. Can you give us a sense of how you plan to balance and prioritize your organic revenue growth, additional M&A and margin optimization in the near term?
Alexander Dobranowski: Sure. George, I think what I shared and what we're trying to communicate where a large part of management focuses in the coming quarters is really on integration, right? We've gone through this high growth phase, right? As I mentioned, one of the fastest growing healthcare AI companies globally. Now we have the building blocks and integration is key. And we want to demonstrate right quarter-by-quarter that number one, we can unlock more value through this integration. And number two, kind of set up the foundation for our next phase of growth, which is of course a big focus of on organic growth, but also right, as you've seen M&A is part of our DNA. So we're going to continue right to look at opportunities from a capital allocation perspective.
Anthony Lam: Yes. George, I mean to add, look, the next little while we'll be focused again on integration and revenue synergies now that we have Orion in the mix with the global footprint that they have. And so we're going to be exploiting a lot of the organic capabilities in the near-term. But having said that, to add to what Alex has said, we are constantly looking at outside opportunities that make sense. And should they make sense, we'll definitely bring them into the mix. But the focus I would say in the near-term is on working with the products and the sales channels we have. So organic components is naturally just going to be where we're focusing in the near-term right now.
Operator: The next question comes from Gabriel Leung with Beacon Securities Limited. Please go ahead.
Gabriel Leung: Good afternoon and thanks for squeezing me in. Just a couple of questions. Anthony, first, just as a point of clarification, did any of the $3 million in cost savings fall into the Q1 results, number one? And number two, as you go through the integration of Orion, do you suspect you'll get some more cost savings that might be over and above that $3 million that you mentioned earlier?
Anthony Lam: It's a great question. The cost saving efforts actually took place partway through Q1. So we did see, I would say, a half quarter impact. I would say, the majority of the $3 million impact that I talked about is coming from the quarters two to four. So there was a bit of an impact in Q1, but mostly will follow in the following quarters. In terms of Orion, I would say, look, we're really assessing things. They run a really, really tight shop and we're very impressed with them. And so, we don't have any call out at this stage, but as time goes on, there's going to be some natural things we'll do to either bolster or adjust, but at this stage, nothing to call out specifically as it relates to the Orion acquisition.
Gabriel Leung: Got you. Thanks for that. And just as a follow-up, Alex, during your investor update last week, you and I think James as well had talked about two proof-of-concepts you're running as part of the sort of the Orion and Healwell joint offering. Just curious, with those proof of concepts, what's the primary endpoints or milestones are the other customers looking forward to drive their decision to move forward with integrating Healwell into the existing Orion system?
Alexander Dobranowski: Yes. Gabe, thank you for the question. Largely, with some of these deployments, these platform deployments that Orion Health does, it allows for public sector customers to understand their data better, population level and also at the clinical level. So where we're focused on is, we're adding some capabilities from both Pentavere and Khure Health that can help both manage data better, search data better and also be able to screen that data from a risk stratification perspective. So that's the kind of theme that you'll see us demonstrate. And as we mentioned, there's some active work that we've already started and is underway.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Dr. Alexander Dobranowski for any closing remarks. Please go ahead.
Alexander Dobranowski: Thank you. Look, in closing, I want to thank everyone once again for joining our call. Thank you to the analysts for their questions. We look forward to providing more updates in the future. Thanks very much.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.